Operator: Good day, ladies and gentlemen, and welcome to the third quarter 2008 Argo Group International Holdings, Ltd. earnings conference call. My name is Katina, and I will be your coordinator for today. At this time all participants are in a listen-only mode. We will conduct a question-and-answer session towards the end of this presentation. (Operator instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the presentation over to your host for today’s call, Mr. Michael Russell of Investor Relations. Please proceed.
Michael Russell: Thank you, Katina, and good day, everyone. Welcome to Argo Group's conference call for the third quarter of 2008. With me today is Mark Watson, President and Chief Executive Officer and Jay Bullock, Chief Financial Officer. I would also like to introduce Richard Pexton, CEO of Heritage, who will be on the call with us today. We are pleased to have the opportunity to review the Company's results for the quarter and the first nine months of 2008 as well as provide management's perspective on the business. No earnings guidance will be provided in this call. I would like to remind you that this conference call is being recorded, and all participants are in listen-only mode. Following management's opening remarks the operator will provide instructions on how you may queue in to ask questions. Let me remind everyone that as a result of this conference call Argo Group management may make comments that reflect their intentions, beliefs, and expectations for the future. Such forward-looking statements are qualified by the inherent risks and uncertainties surrounding future expectations are generally and may materially differ from actual future results involving any one or more of such statements. Argo Group undertakes no obligation to publicly update forward-looking statements as a result of events or developments subsequent to this conference call. For a more detailed discussion of such risks and uncertainties, please see Argo Group's filings with the SEC. With that, I would like to introduce Mark Watson, President and Chief Executive Officer. Mark?
Mark Watson: Thank you, Mike, and hello, everyone. We appreciate that you’ve taken time to join us today. After my opening remarks, our CFO, Jay Bullock, will comment on our third quarter financial results and then we’ll open the call for questions. Given the number of property and casualty companies that have reported earnings thus far, it’s been well documented how challenging the third quarter proved to be for everyone’s financial results. I am pleased to report, however, that our risk management practices continue to prove effective as they were tested this quarter by two hurricanes and an extraordinary shock to the entire financial sector and international securities markets. For the three and nine months ended September 30th, Argo Group generated increased operating income results despite the impact of Hurricanes Gustav and Ike. More importantly, as we entered the fourth quarter, our balance sheet and capital position remains strong. Yesterday we reported a net loss of the third quarter, but for the year have generated net income of $51 million. Obviously, our results have been affected by the financial market turmoil as well as by the hurricanes. Despite the nature of the challenges we in the industry have faced during 2008, our book value per share at September 30th, 2008, was $44.11, a slight increase over the $43.81 book value per share reported a year ago at September 30th, 2007. In the third quarter we recorded pre-tax losses of $60 million related to the hurricanes. As we discussed during our second quarter conference call, historically, Argo Group’s operations had only a moderate property catastrophe exposure. As we continue to diversify our platform, however, we felt comfortable increasing our property exposure. Both the International Specialty and Reinsurance segments have exposure to property catastrophes and in fact two-thirds of our third quarter catastrophe losses were reported by these two segments. While losses are never easy to report, we go to great lengths to prepare for them and are pleased they were within our risk tolerances. The strength of our risk management approach was demonstrated in our P&L as well as by the fact that although we incurred multiple catastrophe events during 2008, both the third quarter and year-to-date operating income exceeded that reported for similar periods in 2007. As I have shared with you on numerous occasions, we also seek to manage our gross and ceded property exposure such that the types of catastrophes, which would cause an expected loss of capital for a year are historically unprecedented. We will continue to monitor our exposures carefully and to purchase reinsurance where appropriate. Our third quarter results also included a pre-tax realized investment loss of $18.4 million, which included the impact of other than temporary impairments. $3.7 million of that loss related to the sale of fixed maturity obligations issued by Washington Mutual, and $13 million related to the Company’s investment in fixed maturity obligations of Lehman Brothers. Jay will discuss our investment portfolio in more detail during his remarks. Finally, during the third quarter, we completed our annual actuarial review of asbestos and environmental loss reserves. This year’s review concluded that our run-off reserves should be increased by approximately $9 million. Reserve estimates are by their very nature based on our judgment of the actuarial best estimates at a point in time. These estimates are refined as historical loss experience develops and additional claims are reported and settled. As a consequence, the estimates may change. We will continue to maintain our conservative reserving for loss (inaudible) record our actuarial best estimates. The impact of these three events on our third quarter was a consolidated pre-tax reduction of income of $87.5 million, losses we absorbed without stress on our balance sheet. Our capital remains strong and we are well positioned to take advantage of the opportunities we believe will develop in the future. Let me also talk about our U.S. businesses. Our E&S business segment continued to compete with the standard market as well as new entrants into the E&S marketplace. We have not yet seen a significant rush to the exit by the standard market carriers because the E&S market responds to a need for unavailable coverage. While the stock market exists and insurance is readily available, the demand for our products is reduced. Our Commercial Specialty businesses continue to see increased activity by both regional and national admitted carriers. The large accounts in more generic classes of business continue to be under more intense pricing pressures than the smaller niche accounts we service. Single-digit rate declines continue to be the norm in our markets with some minor loosening of terms and conditions. Let me make a few general market comments. The financial crisis that began in 2007 with the subprime mortgage meltdown has stressed both the financial markets and insurers. When we entered 2008, companies in the property and casualty market had ample capital with which to operate and grow. Since that time insurance industry capital has been eroded by large realized and unrealized losses. One of the larges and most influential insurance companies in the world has suffered as well. Hurricanes Ike and Gustav further depleted the capital of insurance companies. Hurricane Ike seems likely to result in insured losses that will make it one of the most expensive hurricanes on record for the insurance industry. And finally, I would say the economy is now slowing with negative GDP growth in the U.S. reported for the third quarter and a larger decrease being forecast for the fourth. I mention all of this because the combination of these events is having a significant impact on insurance companies. Many insurance companies that had balance sheets and were viewed as being over capitalized at the beginning of 2008 are now finding that they have just the right amount of capital. Capital is very difficult to find and it’s more expensive today. But there is a positive side to all of this, which is why I am mentioning it. And that is when you add up all of these events that have occurred or are occurring as we speak, we believe these maybe the necessary drivers to cause some change in the markets, and we are cautiously optimistic that that will continue for the remainder of this year and through next year. We don’t know exactly when things are going to change, but I think that we are on the right track. In previous calls we spent a lot of time discussing the many steps that we’ve taken to build our global infrastructure and we continue to do so. However, now we can focus on how it ought to be deployed. There has been much discussion both on recent earnings calls and during industry conferences about the possibility of a market churn as I just mentioned. And while I am not prepared to say that it’s changed, I think that we’re in the right position. One of the things that’s been impacting our market has been the impairment to some of the financial services and one of the things that we have started in recently announced has been the start or formation of Argo Financial Products, which is a London-based underwriter, which will underwrite professional liability coverages through our Heritage subsidiary. In this time, when capital is scarce and it’s difficult to obtain and costly when found, companies with available capital can put it to good use. I believe that Argo Group is one such company and we plan to deploy our capital in those lines that will provide us with the greatest return. We have built an international platform, put together a team of industry leaders, and developed a business model that emphasizes profitable growth and meeting the needs of our customers. I believe we are well positioned to take advantage of the opportunities, which are beginning to appear. Now, I will turn the call over to Jay, who will review our financial results, and then open the call to more questions. Jay?
Jay Bullock: Thanks, Mark. Let me add some additional details on Mark’s comments on the quarter. First, let me say given the extraordinary combination of the quarter’s adverse capital markets and hurricane activities, our diversification strategy proved to be effective as the risks were well managed across all of our business segments, including our most recent additions, International Specialty and Argo Re. We continued to experience top line growth during the quarter as net written premiums were up 45% over the same period last year. This increase was largely a result of the acquisition of Heritage and the establishment of Argo Re along with an increase in the Commercial Specialty segment and the acquisition of Massamont earlier in the year. During the third quarter we also announced the acquisition of Insight in the U.S., and as Mark mentioned, launched Argo Financial Products in London. We expect both of these transactions – these businesses to begin contributing in the fourth quarter. Losses for the third quarter were adversely impacted by significant hurricane activity. The $60 million in net losses we reported in the quarter includes all inwards and outwards reinsurance premiums and the U.S. business recovery on our reinsurance programs. Again, I am pleased to say that the results in each of our divisions were within our expectations for such events. Net reserve development for the quarter was approximately a positive $11 million consisted of development from our E&S segment of $12.5 million positive, offset by approximately $2 million in adverse development in our Run-off segment. The Run-off segment includes the increase to the A&E reserve of $9.1 million, offset by other positive development in this segment of approximately $7 million. Overall, we continue to feel our reserve position remains conservative. Our reserves are reviewed regularly both internally and by outside actuaries, independent actuaries. Now, let’s turn to the investment portfolio. The capital market turmoil experienced during the third quarter resulted for Argo in the recognition of a net pre-tax realized loss of $18.4 million for the quarter. The net realized loss included other than temporary impairment writedowns of $20.2 million on investment securities largely related to fixed income securities of Lehman Brothers. And equity security writedowns were – portfolio declines were deemed other than temporary. We also sold a small amount of fixed income and equity securities during the quarter, which included our holdings in Washington Mutual bonds. These sales resulted in a small net gain of $1.8 million and now effective towards the $18.4 million. At September 30th, our investment portfolio was approximately $4 billion and had a pre-tax unrealized gain of $4 million. During the quarter, the net unrealized gain on the portfolio decreased by $35.7 million on an after-tax basis exclusive of foreign exchange, or less than 1% of the total portfolio, primarily due to widening credit spreads. The decrease in market value of the portfolio, coupled with realized investment losses, represents 3.7% of shareholders’ equity. Let me go through the portfolio in a bit more detail. Our fixed income portfolio is well diversified and managed conservatively. U.S. treasuries, U.S. agencies, agency-guaranteed mortgage-backed securities, and other guarantee – and excuse me, other government securities, represent 32% of the portfolio. These government securities coupled with our short-term highly liquid investments represent almost 50% of the entire portfolio. The next largest component of the portfolio is our investment in municipal securities, which represent 18% and carry an average rating of AA+ without considering credit enhancements. Our corporate securities make up 15% of the portfolio and are issues of high quality name. We round out the remaining 9% of the portfolio with various residential and non-residential mortgage-backed and asset-backed securities. This sector includes $183 million of commercial mortgage-backed securities of which 94% are AAA rated, and the other 6% are AA rated. Exposure in this category is mostly the seasoned deals, significantly enhanced by structural subordination and a percentage of loans that are (inaudible). Despite a significant amount of spread volatility in CMBS this year, the sector remains well suited for our portfolio as cash flows are stable and no credit issues in the deals we own are anticipated. Our exposure to non-mortgage backed related ABS is less than 3% of the portfolio, and is represented primarily by Top Tier issuers with underlying prime collateral. The fixed income portfolio has a duration of 3.5 years with an average credit quality of AA+ and a tax equivalent that was 4% – 4.5% for the third quarter. Our investment in equity securities is approximately 70% of the entire portfolio and is generally comprised primarily – is generally comprised of S&P 500 type names. At the end of the third quarter the unrealized gain on our portfolio was $51.8 million on a pre-tax basis. We have increased our focus on counterparty exposure given the recent economic environment. Majority of our counterparty exposure is in the form of reinsurance recoverables. These recoverables are from highly-rated reinsurers n and we don’t currently see any issues with recoverability. Majority of our receivables are with reinsurance carriers rated A or better A.M. Best. At the nine month balance sheet the increase in receivables is a function of the consolidation of the third-party capital we manage on the Heritage (inaudible) at Lloyd's. While accounted for our balance sheet, these represent the obligations of our third-party capital providers on Syndicate 1200. Finally, our capital base. Argo Group ended the quarter at $1.8 billion of total capital. Our capital ratios remained strong and we feel we have sufficient capital to meet our business plans for the future. Katina, that’s the end of our prepared remarks and we are ready for questions.
Operator: Thank you. (Operator instructions) Your first question comes from the line of David Lewis representing Raymond James. Please proceed.
David Lewis – Raymond James: Thank you and good morning.
Mark Watson: Good morning.
Jay Bullock: Good morning.
David Lewis – Raymond James: Mark, first for you, given the financial pressures in some of your competitors, can you address the recent changes in quote activity for your businesses and any potential pricing improvements that you might see as we kind of look at the different segments, maybe focus on London – I think you are in London right now, and recently met with Lloyd's. If you are going to start to potentially see any improvements you think in E&S, clearly we might see some stabilization. And then also there is a lot of talk of reinsurance improvements given the property losses. Any thoughts there?
Mark Watson: Yes, let me just go around. I will talk about Bermuda and the U.S. first and then I will ask Richard Pexton to talk about what’s going on here in London. In the U.S., I think that – first of all, I will make a general comment. What we are seeing for our Company is that for capacity driven accounts particularly where some of the larger players that are challenged are participants that we have accounts that are moving mid-term, but for the most part we are right now marketing or renewing business for the beginning of January and that’s where I think that we are seeing a fair amount of change as well. So, for the United States, that would mean some change with Argonaut Specialty, which is one of our Excess & Surplus Lines underwriters that writes large – slightly larger accounts than Colony, our bigger E&S company by premium volume. And for the smaller accounts, so again for companies like Colony and many of our – our Commercial Specialty lines, we are starting to see a little bit more account activity, but not quite as much. There doesn’t seem to be too much change in terms of capacity for the smaller accounts right now, but we are starting to observe our competitors moving around their underwriting capacity a bit as are we. So, going forward, I think we’ll first see the larger accounts where capacity is an issue move both in the U.S. and in London. And for Bermuda it’s the same thing on the reinsurance side in particular. I think that while we were at PCI Annual Meeting last week talking with some of the reinsurers for our U.S. program, and Argo Re talking with its clients, I think the general notion with capacity being a little bit more constrained this year than last year, and given the storms that occurred in the third quarter of 2008 in the United States, that reinsurance pricing is likely to go up. So, for Bermuda, I think that’s a good sign for Argo Re. On the U.S. side, I think that’s a good sign for – on the primary side for Argonaut Specialty to begin with. And I will let Richard talk about the London market.
Richard Pexton: David, good morning.
David Lewis – Raymond James: Hi, Rich.
Richard Pexton: I think you are hearing a lot of noise about the – there is a flight from concentration of risk be it investment banks and insurance. They in fact – that’s going to lead to a more syndicated approach by risk manager. You will be aware that the Lloyd's market is a syndicated co-insurance market. That is going to play into our hands well. There isn’t a lot of business flow in the market at this moment. We are expecting to get busy within the next few weeks. And yes so I believe prices will go up. The first stage of that has already happened and is happening. Prices are now level. They are no longer being reduced in the market. So we are seeing flat prices at the moment. I believe the year will get better. I don’t think this is a ‘Big-Bang’ situation. I think that when you see more syndicated risk, prices will go up steadily throughout the year, which is what we are budgeting for now.
David Lewis – Raymond James: That’s helpful. And Mark, another question for you on the Argo Financial Products area, you kind of been in a somewhat startup mode there to participate I guess in the professional liability area. You think you are positioned well to start capturing some of movements out of some of the larger players out there?
Mark Watson: Well, we – two parts to that question or I should say, two answers. We’ve had a professional liability operation for a number of years in the United States. It was originally part of Colony and we rebranded it earlier this year and now refer to it as Argo Pro. As respects the professional liability operation that we just started, that’s a London-based operation and it’s more focused on – I should say it is focused on non-U.S. business and Richard you might want to say a couple of words about it.
Richard Pexton: Yes, this a very experienced team that we’ve just acquired. They are basically writing European business, 90% is Europe. There is no U.S.-domiciled business. They are a market need. It’s a late startup to 2008, but the demand is definitely there, there is no question. We will significantly over-achieve the 2008 premium budget and are looking at – again at 2009. As the same thing is happening in that market where big carrier have got big shares. They are being broken up to much smaller shares.
Mark Watson: Yes, I think the quote I heard from the team earlier today was that they’d already made their budget for the year in the first week they were here. Now, that was a figurative comment, but I think it gives you a little market color.
David Lewis – Raymond James: That’s very helpful. I will re-queue with some additional question. Thank you.
Operator: (Operator instructions) The next question comes from the line of Amit Kumar representing Fox-Pitt Kelton. Please proceed.
Amit Kumar – Fox-Pitt Kelton: Thanks, good morning. I guess just going back to the discussion on Argo FP and Insight Insurance it seems the limits are I guess $20 million for Argo FP and when you are saying that you have already made the budget, what sort of expectations are we talking about here for 2009?
Jay Bullock: The limit that you referred to was the maximum we can underwrite per client, that’s not a premium limit, that’s an indemnity limit. The premium limit for 2008 was very modest because it started last week, so we are literally looking at about six weeks premiums slide [ph] because anything attaching first of January will affect next year. For 2009, we got a modest target of premiums of (inaudible) $15 million. 
Amit Kumar – Fox-Pitt Kelton: Okay. That’s helpful. And I guess maybe just going back to the discussion on A&E reserves, could you just give us the number, what were the ending reserves as of Q3 in the Run-off segment? 
Mark Watson: Net reserves in – for A&E at the end of Q3 were approximately $165 million.
Jay Bullock: And we’ll have the exact details published in the 10-Q, which I think will be out next week.
Amit Kumar – Fox-Pitt Kelton: Okay. And in terms of the adverse development based on the study, were there any specific trends you had seen or was is it just more some truing.
Mark Watson: It was more truing up. The reserves are so small that when you are paid and I said this last year – when you are paid patterns change just a little bit it changes the development factors of the 9 million – it was really a 5 million true-up last year. We were booked I think $3 million – I think management’s estimate was $3 million different than Milaman’s [ph] estimate. And so we decided to move closer to Milaman’s estimate this year and there was an additional $1 million of ULAE expense. So, in terms of pure development this year – it was really about $5 million true up
Amit Kumar – Fox-Pitt Kelton: Okay. And that’s helpful. I think just moving on and looking at the Reinsurance segment, previously you had talked about 100 million new premium number over 2008. And just looking at the run rate for the nine months, have those expectations changed in anyway?
Mark Watson: No, I think, Amit, sometimes I may say things that’s confusing. When I am thinking about that $100 million, I am thinking about the parts that we are writing on our own account. Also, keep in mind that we also provide reinsurance cover to a few of our business partners on a pro rata basis of their programs and that – that adds another $20 million or so of premium. So we may end up a little ahead of plan for the year, but I actually think we are right on target for our reinsurance operation.
Amit Kumar – Fox-Pitt Kelton: Okay, that’s helpful. And last question and I promise I will re-queue. In terms of – I think in your opening remarks you talked about your capital levels and how it’s different from others and I guess that’s why you were poised much better when you look towards ’09. Can you just talk about your premium to equity level and what’s the target leverage ratio you are thinking of?
Mark Watson: Well, that’s a number of questions. So, I think that we are in a good capital position. And I mean that on an absolute basis and a relative basis. When I look at the amount I think that the amount of net written premium that we would expect to write next year relative to capital is somewhere around one to one, which I think is a very conservative number. When I look at leverage, I don’t necessary just look at premium to capital, but also we look at loss reserves to capital and assets to capital. Firstly, reinsurance recoverables. And secondly, invested assets to capital. And I think that the leverage that we’ve got relative to all of those is just fine. I also look at financial leverage and right now I think we are – Jay sitting at 20% something – 28%, sorry that may be high – of debt-to-total capital, which is about where we’ve been for several year. So I think that all of our – if you look at the different places on the balance sheet and the income statement relative to capital, I think we are in a good spot.
Jay Bullock: Yes, it’s about – the number is approximately 25%. Remember that the vast majority of that is 30-year trust – senior subordinated debentures and (inaudible) trust preferred.
Mark Watson: Correct. 
Amit Kumar – Fox-Pitt Kelton: Okay, that’s very helpful. And congrats on the results.
Mark Watson: Thank you.
Operator: (Operator instructions) Your next question comes as a follow-up from the line of David Lewis representing Raymond James. Please proceed.
David Lewis – Raymond James: Thank you. I think Mark in your earlier comments you indicated or Jay’s comments actually that the Company’s got a $1.8 million capital base. Is that statutory capital?
Jay Bullock: No, that’s the GAAP capital of the Company.
David Lewis – Raymond James: What’s statutory capital at September 30, roughly, if you don’t have the exact number?
Jay Bullock: I don’t have the exact number—
Mark Watson: It’s right around that. I think it might be billion seven.
Jay Bullock: Somewhere between a billion six—yes, or I think it’s probably close to billion six. All you have to do is back out the goodwill and you are pretty close to the number.
Mark Watson: Okay, okay. 
David Lewis – Raymond James: Okay. So, if – let’s not put words in your mouth, but Mark you may have indicated that you hope to write one to ones, so that would imply that you could write up to $1.6 billion, which I think is–
Mark Watson: Sorry, I was – yes, David, I was thinking about equity, not total capital–
David Lewis – Raymond James: Okay.
Mark Watson: Which is a little less than that.
David Lewis – Raymond James: Okay. So that’s a little over 1.3 – alright. The other question.
Mark Watson: Right. It’s 1.4 billion.
David Lewis – Raymond James: Okay. Jay, make sure I am looking at this right. If we take what you reported all-in on your combined ratio in the quarter of 106.1%, hurricanes were 8.6 percentage points and your favorable development at 3.3 percentage points and if we kind of X out hurricanes and the favorable development then your incurred combined ratio was 90.8%, which I think is pretty attractive relative to what we’ve seen in other period. You kind of look at it same way and was there anything particularly favorable in the third quarter that may not be kind of ongoing?
Mark Watson: Yes, well, I think you have to keep in mind that with the addition of both Argo Re and now Heritage both operations have cat exposure as it well – Argo Re is primarily cat exposed. Heritage has significant amount of cat exposure all through the year, and so we accrued for losses that may occur in every quarter, so think European windstorm at the beginning of the year and the end of the year, think earthquake, whether it’s in the U.S. or Japan throughout the year. And so a part of that change or I should say a part of the results of the third quarter are a recognition that some of those events just didn’t occur as well as taking into account those that did.
Jay Bullock: I’d also add, David, that while it was a significant quarter for hurricanes and catastrophes we are going to have catastrophes in the third quarter. So backing out a 100% of the catastrophes I think gives you a slightly unrealistic view.
Mark Watson: Yes, and also attritional losses – attritional property losses were low for the quarter.
David Lewis – Raymond James: Okay, it’s helpful. And if we try to get kind of to a well let me back up – if I add back the realized investment losses after-tax it looks to me like your operating earnings per share would have been about $0.18 a share including the hurricane claims. Does that sound about right? And I know the tax rates get a little bit (inaudible) here and that’s what I am just trying to confirm that but if we just take – I think you indicated you had $14.4 million of after-tax losses and I kind of go from that standpoint–
Jay Bullock: What did you say, David, $0.18?
David Lewis – Raymond James: $0.18 a share.
Jay Bullock: I think that’s a decent ballpark.
David Lewis – Raymond James: So, in fact then you had a much better quarter than the mean estimate of the loss of $0.33, which should have been on a similar comparison, so – anyway, on the review of the A&E business, I think after the third quarter of 2007’s review you indicated you were about the middle of the range. Would you say you are still in that middle of the range?
Jay Bullock: Yes, solidly.
David Lewis – Raymond James: Okay. That’s all I have. Congratulations on the quarter.
Mark Watson: Thank you.
Operator: The next question comes from the line of Scott Heleniak representing RBC Capital Markets. Please proceed.
Scott Heleniak – RBC Capital Markets: Hi, good morning. The $100 million target you gave for reinsurance premiums this year, any idea what that might look like in ’09 as say pricing is up just a little bit obviously starting firm, but how quickly can you ramp that up in 2009 and any idea what that number might look like?
Mark Watson: Boy, I wish I had a crystal ball, but, yes, I think we are getting a sense for that now, Scott. It – the – we are marketing for January 1 business today, which – we are not that far away. The interest level that we have I think is more than it was a year ago and for this past year and we’ve been pleasantly surprised during the course of the year. I think there will be – so there will be two things driving a –the premium number for 2009. First will be rate and I think that it is likely that rates will be moving up for the reasons that I mentioned earlier. I am not sure how much. We’ll know pretty quickly, but I think we’ll see rates move up some and I think we’ll see that accelerate during the year. So, let’s pay attention to January 1 and see what that means for the rest of the year. And then perhaps the more important driver for our Company anyway is – we have to remember that January 1 for 2008 was not a robust time for us because we literally launched Argo Re on I think December 23rd and so while we did market some business for January 1, we didn’t write as much business as we would have liked to had we started marketing in October of 2007. So I think that we will have more business to write January 1 this year meaning 2009 and 2008 just because we were a little behind in marketing. So, you add that and with I think demand for our capacity. We’ve got a great underwriting team led by Andrew Carrier. I think that our ratings are sound and helpful. And so movement in rate in the marketplace and I think that should put us in a good spot to start next year for Argo Re.
Scott Heleniak – RBC Capital Markets: Okay. And then also in reinsurance you mentioned previous call the 15% target, is that something you still look for long term? I know it’s a little bit different mix now. You have Heritage but are you still comfortable with that target?
Mark Watson: Absolutely. That was our interest in acquiring Heritage. Over the last five years, Heritage has more than exceeded that target return and while this year may be a challenge for Heritage given some of the losses, it is I think comforting to look back and look at 2004 and 2005 when we had some pretty significant hurricane losses and you will see that Heritage will have written on an accident year basis a profit in 2005 as well notwithstanding some pretty big losses from Katrina.
Scott Heleniak – RBC Capital Markets: All right. The only other question I had was the run-off. You talked about possibly giving some capital to the Holding Company. Have you done that this year and is there still plans to do that in the next few quarters?
Mark Watson: I think right now given what’s going on in the capital markets a more prudent course of action is hold on to your capital and use it judiciously. 
Scott Heleniak – RBC Capital Markets: Okay, fair enough. Thanks
Operator: (Operator instructions) Your final question will come from the line of Amit Kumar representing Fox-Pitt Kelton. Please proceed.
Amit Kumar – Fox-Pitt Kelton: Oh, thanks. Just three quick questions. I know you have an outstanding share buyback program and I guess based on what I am hearing today is it fair to say that one shouldn’t expect that to be tapped in the near future
Mark Watson: Well, I think that we are always looking at the best use for our capital. But I think right now given what’s going on in the markets, as I’ve said that holding [ph] your capital until the financial markets calm down is probably a prudent course of action.
Amit Kumar – Fox-Pitt Kelton: Got it. And then just I guess moving on to the Heritage premiums and I know you have discussed this for quite some time in terms of the lumpiness and could you just remind me what sort of premiums directionally we should expect for Q4 for Heritage?
Jay Bullock: So, Amit, just understand just I explain to Richard, I think the question you are asking is how is that business written during – how is that business come on to the books during the year in terms of–
Amit Kumar – Fox-Pitt Kelton: Yes, exactly.
Richard Pexton: Over the course of the year how we are earning premium?
Jay Bullock: How we are earning and how it’s written. In other words, what timeframe during the year is that business written?
Richard Pexton: Okay. For 2008, we are pretty much written and you’d expect it to be for the remaining two because the business that comes up in November will have touched 2009. We would be writing approximately 70% of our business by the half year – 70% -75% by the half year is underwritten.
Amit Kumar – Fox-Pitt Kelton: Okay. That’s all I had. Thank you so much.
Operator: With no further questions in queue, I would now like to turn the call back to Mr. Mark Watson for closing remarks.
Mark Watson: Thank you, Katina, and thank you, everyone, for joining our call today. I know that everyone’s time is precious given how busy the third quarter has been. I’d like to thank all of our employees for working hard during the third quarter. There has been a lot going on with the market changes that are going on. I think that we are in a very good position to move forward. I’d like to thank everybody for keeping their head down. And we look forward to speaking to you at the end of the fourth quarter and talking about our year end results. Thank you very much.